Operator: Good day, and welcome to the Legacy Education, Inc. First Quarter Fiscal 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Today's call is being recorded and broadcast live. This is also archived on Legacy Education website. To kick off the call, I would like to turn it over to Nicole Joseph, Senior Vice President for Legacy Education. Please begin.
Nicole Joseph: Thank you, and hello, everyone. Legacy Education issued a news release, reporting its recent financial results and related corporate developments for the first quarter and three months ended September 30, 2024. The release is available in the Investor Relations section of Legacy Education's corporate website at legacyed.com. With us today on the call are LeeAnn Rohmann, Chief Executive Officer; and Brandon Pope, Chief Financial Officer. On today's earnings call, statements made by Legacy's management regarding the company's business, which are not historical facts, may be forward-looking statements as identified in federal securities laws. The words may, will, expect, believe, anticipate, project, plan, intend, estimate and continue as well as similar expressions are intended to identify forward-looking statements. Forward-looking statements should not be read as a guarantee of future performance. The company cautions you that these statements reflect current expectations about the company's future performance or events, and are subject to a number of uncertainties, risks and other influences, many of which are beyond the company's control that may influence the accuracy of the statements and projections upon, which the statements are based. Factors that may affect the company's results include, but are not limited to, the risks and uncertainties discussed in the Risk Factors section of the annual report on Form 10-K and the quarterly report on Form 10-Q filed with the Securities and Exchange Commission. Forward-looking statements are based on the information available at the time those statements are made and management's good faith belief as of the time with respect to future events. All forward-looking statements are qualified in their entirety by this cautionary statement, and Legacy undertakes no obligation to publicly revise or update any forward-looking statements, whether as a result of new information, future events or otherwise after the date thereof. I will now hand the call over to LeeAnn Rohmann, CEO of Legacy Education. LeeAnn to you.
LeeAnn Rohmann: Thanks, Nicole, and good afternoon. First and foremost, I want to say thank you to all of our employees, investors and supporters who made our IPO possible. The IPO has significantly enhanced our visibility, providing greater access to capital and positioned us for sustained growth. We raised $11.5 million and issued 2.875 million shares, including the full exercise of the over-allotment option by the underwriters, further bolstering our financial position and setting the stage for expansion. We have long had a long-term vision and goal to be a publicly-traded company, and we appreciate everyone that took part in this important milestone. I'd like to now welcome to Legacy Education's First Quarter Fiscal 2025 Earnings Call. I'm joined today by Brandon Pope, our Chief Financial Officer. We are thrilled to share the results of another strong quarter. The first quarter of fiscal 2025 marked an exceptional start to the year for Legacy Education. Here are some of the highlights. Our revenue increased 35.1% year-over-year, reaching $14 million, driven by robust student enrollment and a shift towards higher-margin programs. Our new student starts rose 23.3% year-over-year for a total of 773, the largest enrollment quarter of our history, demonstrating strong demand for our career-focused educational offerings. Net income for the quarter was $2.1 million, a 95% increase from $1.1 million in the prior year quarter. Diluted earnings per share rose to $0.21, up from $0.11. Our active student population year-over-year for this quarter, grew by 25.4% to 2,539, a testament to the success of our programs, execution, and outreach efforts. During the quarter, we received approvals for new programs, including Dental Assisting, Sterile Processing, Surgical Technology Associate of Applied Science, and Pharmacy Technicians. These programs will all be added at our Central Coast College campus. Technology advancements, we began transitioning our learning management system from Canvas to Blackboard Learn Ultra, which will enhance the students' learning experience, streamline the systems communication, and improved scalability. These results reflect the strength of our strategy and the unwavering dedication of our team. We remain committed to empowering students with the skills and knowledge they need to thrive in their careers while delivering value to our shareholders. Now, let me take a moment to walk you through some of the key operational developments. Program expansion, we continue to expand our health care-focused programs, including Nursing, Medical Assisting, and Diagnostic Medical Sonography. These initiatives align with the market demand for skilled professionals and critical industries. Technology investment, we have invested in learning technologies that have enhanced both student outcomes and operational efficiencies. By integrating hybrid learning models, we're providing students with greater flexibility and accessibility. Our corporate partnerships, we've strengthened these relationships with some industry leaders, including health care providers to create externships and job placement opportunities for our graduates. These partnerships are a cornerstone of our strategy to bridge education and employment. New campuses, our new campus initiatives as well, we are thrilled about including the acquisition of Contra Costa Medical Career College once that's closed, we are poised to expand student enrollment and revenue further solidifying our presence in key markets. Now, I'd like to turn the call over to Brandon Post to discuss our financial performance in more detail. Brandon?
Brandon Pope: Thank you, Ian, and good afternoon, everyone. I'm pleased to report on the financial results for the first quarter of fiscal 2025. As LeeAnn mentioned, our revenue achieved $14 million for the quarter, a $3.6 million increase compared to Q1 of fiscal 2024. This represents a 35% year-over-year growth driven by increased enrollment and favorable program mix. Turning to expenses. Educational services expense rose $7.2 million, reflecting investments in faculty, instructional resources and externship fees. However, as a percentage of revenue, educational services declined from 55.3% to 51.4% due to operating efficiencies. General and administrative expenses increased to $4 million driven by expanded marketing initiatives and professional services. However, as a percentage of revenue, general and administrative expenses also declined from 30.4% to 28.3%. Operating income increased to $2.7 million from $1.4 million, a 93% increase. This represents an operating margin of 19.1% compared to 13.3% in prior year. As LeeAnn mentioned, net income reached $2.1 million, up from $1.1 million in the prior year with diluted earnings per share improving to $0.21 from $0.11. EBITDA for the quarter was $2.7 million, while adjusted EBITDA came in at $2.8 million compared to $1.4 million in prior year. Our financial health remains very strong. We have cash in excess of $21 million and in working capital exceeding $23 million. Let me turn it back to you, LeeAnn.
LeeAnn Rohmann: Thank you, Brandon. Well, as you can see, we are on our way to achieving record revenue, starts, student population and earnings. Our focus on operational excellence, program expansion and strategic partnerships gives us confidence in achieving these goals. As I begin to close, I just want to reflect on the progress made for this first quarter. It's clear that we are well positioned to achieve our goals for fiscal 2025 and -- this has been a historic quarter for legacy education marked by strong performance, significant milestones and a commitment to innovation and growth. We are on target to deliver exceptional value to our students and stakeholders. Thank you for your continued trust and support as we work to shape the future of career-focused education. Operator, we are now ready to take questions.
Operator: We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Jeffrey Cohen with Ladenburg Thalmann. Please proceed.
Jeffrey Cohen: Hello, LeeAnn and Brandon. Thanks for taking our questions and congratulations again on the quarter and the IPO.
LeeAnn Rohmann: Thank you, Jeff.
Brandon Pope: Thanks, Jeff.
Jeffrey Cohen: So when did Contra Costa close? I'm assuming none of that was included in Q1. And what percent would be included in Q2? What's the closing date?
Brandon Pope: Yeah. The closing date is end of December, and it won't be very much in the quarter. But the closing date is on schedule to close mid to late December.
Jeffrey Cohen: Got it. That's helpful. And the new starts and total enrollment were -- exceeded our estimates. So could you talk about that a little bit and what programs may be driving that? And then couple that with a little bit of seasonality as, I guess, historically, Q2 and Q3 are seasonally low versus Q1 and Q4?
LeeAnn Rohmann: Correct. And the -- really what drove the starts was the new program offerings that we had gotten approved in 2023, specifically in our cardiac area in our MRI and then our RN program, really, we realized the benefit of the RN program. And it's really those new programs and filling those classes is what led to the increased enrollments for Q1.
Brandon Pope: Yeah. If I could also comment on -- you're exactly right. The first quarter is one of our stronger quarters, while our second quarter due to the holidays is generally one of our weaker quarters, but we're coming in very strong early.
Jeffrey Cohen: Okay. LeeAnn, what percent of RNs are achieving a BSN?
LeeAnn Rohmann: I don't have that exact count in terms of the number that are moving into the BSN program, but we do have our first class that's poised to be able to move right from achieving their RN certificate to move into the BSN program. We currently have 40 students in that program.
Jeffrey Cohen: Okay. Got it. You mentioned transitioning to Blackboard. Will that be transitioned on all of the campuses for all of the course work or just some portion of it?
LeeAnn Rohmann: All of the campuses, and we have -- we just completed the onboarding on October 31 and November 1, and it will be for all 5 locations in all programs. The nursing still will bring the students in on a residential basis, but they will still be utilizing Blackboard as the mechanism for how they will be learning on ground.
Jeffrey Cohen: Okay. Got it. And then lastly for us, I know you don't provide any specific guidance, but could you talk about big picture and talk about M&A a bit as far as what the landscape looks like out there and hopefully, what you're able to achieve over the coming quarters?
LeeAnn Rohmann: Well, we definitely believe that just the sector switch and the change, there's a lot of opportunity that is before us, both inside our current California footprint and outside of that footprint. We have been in some initial and early discussions in both of those areas within California and outside of California. So we believe that there's going to be a significant opportunity for us to be able to capitalize off of that. I want to make sure that we really execute well on the current acquisition that we have upcoming and getting that just executed well as we continue to seek the additional opportunities that may be available to us.
Brandon Pope: If I would add, you're right, we don't provide guidance in the future, but we're coming out very, very strong. And we've shown that progression over the year and that's the trend that we're seeing.
Jeffrey Cohen: Perfect. Thanks for taking my questions. Those are for us. Nice quarter.
LeeAnn Rohmann: Thanks, Jeff.
Jeffrey Cohen: Thank you.
Operator: Our next question is from Mike Grondahl with Northland Securities. Please proceed.
Mike Grondahl: Hey, LeeAnn and Brandon. First question, it sounds like the outperformance was cardiac, MRI and RN. Roughly, how many students are in those three programs? And how much capacity is remaining?
LeeAnn Rohmann: So when I'm looking at roughly of our 2,500 students right now, we have a good -- I would say that we're looking at roughly about 20% of those students fall into those categories. We're not concerned with regard to capacity because, again, with the way that we have the flexibility of the theory is being taught online, students are coming into the campuses only for their laboratory experiences. We have plenty of capacity to be able to support these programs and the needs that are out there to really meet the job markets and the demand there for these programs.
Mike Grondahl: Got it. And then I think prior, you had 29 total programs. With the new ones you mentioned, are you up to about 33 now? Is that the right number? I think you said dental – processing surge tech. Okay.
LeeAnn Rohmann: Across 33 programs now.
Mike Grondahl: When do those four new ones you talked about at CCC, when will those go live?
LeeAnn Rohmann: Am I allowed to say that? Because I can tell you that we just kicked off the surgical tech – surgical tech, and you will be hearing more about it in the second quarter.
Mike Grondahl: Got it. Got it. And then just one clarification question. You said active students at 25, 39, -- is that the same as ending students?
Brandon Pope: Yes, it's the same number. Yes.
Mike Grondahl: It's the same number. Okay.
Brandon Pope: Active student population, yes.
Mike Grondahl: And then with Contra Costa closing at the end of December, can you remind us maybe what the top two or three benefits are from that acquisition?
LeeAnn Rohmann: Absolutely. Really the top two or three benefits. The first one I would say to you is the school has 14 programs that they are approved for all in Allied Health. Of those 14 programs, nine of them are cash short programs that we will be able to really fold into our other campus brands. And then the five programs that do participate in the federal funding, we have -- we will be able to -- we've already taken surge tax and sterile processing, and we've added that to our Central Coast college campus. We plan to add those to the remaining 4 campuses. Those are high-need programs and there are not a lot of competition in the areas to which we are currently serving.
Mike Grondahl: So Serge tech in sterile processing, which you just opened or are about to open at CCC. Those are going to go to the other campuses also?
LeeAnn Rohmann: That's the plan.
Mike Grondahl: Got it. Any challenges to call out in the quarter? I mean, it obviously was very strong. But I don't know, any headwinds you saw out there or any programs underperformed
LeeAnn Rohmann: I don't think so, Mike. I mean, in terms of -- I mean, we are pleased that we have program offerings that are high in demand. And we are really serving in markets to where as people are looking for career opportunities for themselves. We have been poised to meet those needs in the communities, and we did not find any programs that underperformed.
Mike Grondahl: Got it. And maybe lastly, you're closing Contra Costa soon 6 weeks, give or take a little bit. And you mentioned you have a pipeline of other opportunities inside and outside California? Is there any integration time? I mean do you have the staff and the people to do another acquisition right away after Contra Costa? Do you have to wait 3 to 6 months? Or I don't know, are you ready to go on another one real soon here? Trying to understand that a little bit.
LeeAnn Rohmann: We're in a highly regulated business, so you definitely have to ensure that you are meeting the kind of the change in ownership requirements that come from both the regulatory, the state and the accrediting agencies. So what I would tell you is this Contra Costa acquisition, has -- I mean, this pool has been around for 17 years. They have a seasoned, experienced group of individuals that as I'm actually doing this earnings call and doing it from the conference room of the school. And I just seen the capacity and the opportunity to be able to tap into some of these people to support us and future acquisitions is really favorable and positive for us. But I just want to make sure that with -- given what it takes to get approvals for something like this to happen. We have to see how with administration changes and who the new leadership and the Department of Education is going to be and so forth that -- what that timing may look like. I believe with our current staff, we're poised to be able to support a short-term future acquisition, but we want to make sure that it would be good for both the business and really the future of the company to be able to support it.
Mike Grondahl: Got it. Got it. Congrats on a really strong quarter.
LeeAnn Rohmann: Thank you. Thank you so much. Appreciate that.
Brandon Pope: Yes. Thank you.
Operator: Thank you. With no further questions at this time, this will conclude today's conference. Thank you for your participation, and have a great day.